Operator: Thank you for standing by and welcome to Domino's Pizza's Second Quarter 2024 Earnings Conference Call. At this time all participants are in listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Greg Lemenchick, Vice President of Investor Relations. Please go ahead, sir.
Greg Lemenchick : Good morning, everyone. Thank you for joining us today for our Second Quarter Conference Call. Today's call will begin with our Chief Executive Officer, Russell Weiner, followed by our Chief Financial Officer, Sandeep Reddy. The call will conclude with a Q&A session. The forward-looking statements in this morning's earnings release and 10-Q, both of which are available on our IR website, also apply to our comments on the call today. Actual results or trends could differ materially from our forecast. For more information, please refer to the risk factors discussed in our filings with the SEC. In addition, please refer to the 8-K earnings release to find disclosures and reconciliations of our non-GAAP financial measures that may be referenced on today's call. This morning's conference call is being webcast and is also being recorded for replay via our website. We want to do our best this morning to accommodate as many of your questions as time permits. As such, we encourage you to ask one question only. And with that, I'd like to turn the call over to Russell.
Russell Weiner : Thank you, Greg. And good morning everybody. Our second quarter performance demonstrated once again that our Hungry for MORE strategy, is delivering positive results. For the second straight quarter, we drove US Comp performance in the healthiest way possible through profitable order count growth. Positive order counts in our delivery business, positive order counts in our carryout business, positive order counts across all income cohorts. We also continue to see improvement in our international comps and generated earnings that were in-line with our expectations. As a result of our strong results year-to-date and expectations for the back half of the year, we remain on track to achieve our guidance for annual global retail sales growth of 7% or more and operating profit growth of 8% or more. I want to provide an update on our net store growth guidance, which we temporarily suspended this morning. First, I want to reiterate that our US Pipeline is strong and it continues to grow. We continue to expect 175 or more net new stores annually in 2024 through 2028 in the US. We now expect to fall below our net store growth target for international in 2024 by approximately 175 to 275 stores, primarily as a result of challenges in both openings and closures faced by Domino's Pizza Enterprises, DPE, one of our master franchisees. We're partnering closely with DPE, as they work through this process. Now, it's important to note that our largest expected growth markets of China and India remain on track to deliver on their growth potential. In China, DPC Dash, announced they'll open store number 1,000 by the end of this year, and then they'll increase their net openings per year to between 300 and 350 starting in 2025. Back in May, Jubilant, our master franchisee based out of India, increased its total store count potential to 5,500 over the medium-term in the six global markets in which it operates. When you think that it took Domino's over 60 years to open 5,500 stores in the United States, Jubilant's goal exemplifies the Hungry for MORE mentality, our global system is taking on. Now let's look at our second quarter results through the lens of our MORE, Hungry for MORE pillars, which continue to drive our business. As you know, M stands for the most delicious food. We know we've got the most delicious food in the industry and are focused on showcasing that with more mouth-watering food photography and all of our marketing and our sales channels. We launched our New York Style pizza in Q2, and it's what we call innovation with intent. When we launch a new product, it's got a specific role, and it's intended to stay on the menu permanently. New York Style pizza is another example of that. It's got a crust that's thinner and more foldable than our traditional crust. It was designed to appeal to pizza lovers, whose idea of deliciousness is a little bit different than Domino's Pizza Offerings in the past. The result has been a high mix of sales within our pizza offerings. In addition to being a product that showcases deliciousness in a different way, New York Style Pizza is available as part of our mix-and-match offer. Domino's Rewards members can also redeem 60 points for a free medium two-topping New York Style pizza. This new offering drives more than just deliciousness. It drives value and it drives more customers into our loyalty platform and that's why we call it Innovation with Intent. The O in Hungry for MORE stands for Operational Excellence. This is how we'll deliver on our promise to have the most delicious food, by consistently driving a great experience with our product. As I shared on our last earnings call, in 2024 we're rolling out a new service program we're calling MORE Delicious Operations. This is a series of three-product training sprints focused on our dough, how we build and make our products, and then how we cook them. In Q1, we embarked on our first sprint, which focused on our dough, and are now rolling out our second sprint around ingredients and product builds. These product sprints and last year's Summer of Service, are working together with our [DMOS] (ph) technology to drive improvements in our delivery times. In fact, estimated average delivery times were nearly 10% better in Q2 of 2024 than they were in Q2 of 2022. And we're doing all of this while our stores are handling more orders. So I wanted to congratulate our franchisees and operators, whose commitment to service allows us to deliver on the promise we are striving to make in our marketing that Domino's has the most delicious food. Our third Hungry for More pillar is R for Renowned Value. As I said before, it's not just about having the lowest price in the market, it's about providing value that's innovative and memorable. Renowned Value breaks-through the sea of standard discounts you see in the marketplace. Now Domino's Rewards is an example of that Renowned Value. It continues to perform well and was the key driver of our strong US comp performance in Q2. You will recall our objectives for the program were to drive new users, particularly carryout customers, and increase the frequency of light users. I'm happy to report that Domino's Reward continues to deliver on those objectives. Our active members are up significantly year-to-date through Q2, showing that the program is continuing to build. Redemptions across both the delivery and carryout channels are also increasing, which is contributing to the transaction growth you're seeing in each of our businesses. For example, in our carryout business, orders with a loyalty redemption in the first half of 2024 are twice as high, 2 times, as they were in the first half of 2023 under our old loyalty program. So the Americans continue to look for value Domino's is providing Renowned Value and doing it profitably for our franchises. National promotions are another way we're driving Renowned Value. In Q2, we had two Boost weeks, both of which were very successful in driving transactions and customer acquisition. As it relates to our promotional cadence in 2024, you can continue to expect around six Boost weeks. While providing renowned value through our own channels is one part of our barbell strategy, tapping into the aggregator marketplace is the other. And our launch into this space remains on track to exit the year at 3% or more of sales coming through Uber Eats. Everything we do at Domino's is enhanced by our best-in-class franchisees. They're the E in our Hungry for MORE strategy. In early May, we hosted our largest worldwide rally with almost 9,000 franchisees and team members in attendance. This year's event was appropriately themed Hungry for MORE. We brought the strategy to life across our global system and the results showed. This was our most highly rated rally of all-time. To close, I couldn't be more energized by the future of Domino's Pizza and seeing the excitement of franchisees at our rally really brought that to life for me and the leadership team. Our results show that our strategy is resonating with customers and our system. All of this gives me great confidence that we can continue to drive significant long-term value creation for our shareholders. And with that, I'll turn things over to Sandeep.
Sandeep Reddy : Thank you, Russell, and good morning everyone. Our second quarter financial results were right in-line with our expectations. Our strong start to the year has resulted in profit dollar growth versus 2023 for our US Franchisees. We remain on track to achieve our target of $170,000 or more average US Franchise store profit for 2024. Excluding the impact of foreign currency, global retail sales grew 7.2% in the quarter due to positive US, and international comps and global net store growth. US Retail sales increased 6.8% and international retail sales grew 7.7%, excluding the impact of foreign currency. During Q2, same store sales for the US came in at 4.8%, which was in-line with our expectations. Our strong comps in the quarter for carryout of 7.9% and delivery of 2.7% were once again driven primarily by transaction growth. Our US same store sales continued to be primarily driven by transaction growth from our new loyalty program and our strong marketing programming. We also benefited from 1.5% of pricing, which was inclusive of high single digits in California. Our sales mix from Uber grew to 1.9% for the quarter. The incrementality of Uber sales continues to be in-line with our expectations. Our comp tailwinds were partially offset by a higher carryout mix, which carries a lower ticket than delivery. Shifting to US unit count, we added 32 net new stores in-line with our expectations. This brings our US system store count to 6,906. We remain on track to achieve our 175 or more net store growth target in the United States in 2024, and we anticipate opening our 7,000 store by the end of the year. Shifting to international, where comp results were generally in-line with expectations for the quarter. Same-store sales, excluding foreign currency impact, accelerated to 2.1% in the quarter. The improvement from Q1 was broad-based, as we saw improvements in our Europe, Asia, and Middle East markets. Store counts increased by 143 net stores as we finished the quarter with more than 14,000 international stores. Our net store openings were impacted by softness in DPE, on gross new store openings and closures. Income from operations increased 1.7% in Q2, excluding the negative impact of foreign currency of $2.7 million. This increase was primarily due to higher franchise royalty revenues, resulting from global retail sales growth. This was partially offset by higher G&A, which was primarily driven by higher labor expenses, as well as the company's worldwide rally expense, as communicated on our last quarterly call. I expect the return on this expense to be extremely high, as everyone across our system left engaged, inspired, and ready to drive our Hungry for MORE strategy. Lastly, our margin rate was impacted by 0.3% headwind in Q2, from the tech fee being reduced to [$0.355] (ph) and our ad fund contribution rate increasing back to 6%, as previously communicated. Now turning to our outlook. We continue to expect 7% or more global retail sales growth, excluding the impact of foreign currency, based on the following key items. First, our 2024 US Comp to be above the 3% or more long-term guide, as a result of catalysts in Uber and Loyalty for the full year, and we expect comps to be 3% or more in Q3 and Q4. Specific to Q3, we expect comps to be slightly below what we saw in Q2, on a one-year basis, as we're expecting one less Boost week, partially offset by a continued ramp in Uber. Second, sales for Uber to increase, as marketing and awareness grow and we're expecting to exit the year with an overall sales mix of 3% or more. Third, international comps to accelerate to 3% or more long-term guidance in the back half of the year. As Russell noted, we now expect to fall below our 1,100 or more net new store number for 2024. This is due to challenges in our international business, primarily related to DPE. As we get further visibility into the full effects of DPE's store opens and closures, we will provide an update on the impact to our long-term outlook for 2025 and beyond. We continue to expect an 8% or more year-over-year increase in operating income, excluding the impact of foreign currency. To highlight some of the components. First, for the year you can expect operating income margins to be relatively flat compared to 2023 and to be down slightly in Q3. As a reminder, we are not expecting to see cost leverage in 2024, primarily due to investments we are making in consumer technology, store technology, and supply chain capacity to support future sales growth. Second, we are now expecting supply chain margins to expand compared to the prior year, due to some favorability in the food basket and slightly higher procurement productivity. We are forecasting to come in below the midpoint of our food basket range of 1% to 3% for the year. In Q3, expect supply chain margins to be roughly flat compared to the prior year and down in Q4. Third, the favorability in supply chain margin is being partially offset by pressure within G&A, due to slightly higher investment levels. We continue to expect our G&A as a percentage of global retail sales to be approximately 2.4%. And lastly, we are now expecting the impact of foreign currency to be approximately 1% of operating profit dollars in 2024. We expect this will impact our year-over-year operating profit margins by roughly 20 basis points. As was noted in our disclosure this morning, we did not repurchase any shares in the second quarter. We continue to maintain flexibility due to the volatility of the interest rate environment, as we evaluate our upcoming debt maturity in October of 2025. Thank you. We will now open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Dennis Geiger from UBS. Your question, please.
Dennis Geiger: Great. Good morning, guys. Thank you. Appreciate it. I wanted to ask a little bit more on the loyalty, what you're seeing there and sort of as we go into the back half of the year. And maybe even into 2025, how are you guys are thinking about that Loyalty program, given the contribution you've seen already this year and what you're expecting kind of again balance of the year -- in the year to how you think about marketing it, promoting it. Thank you guys.
Russell Weiner: Good morning Dennis. Thanks for the question. Yeah, I'll tell you Loyalty for us this year has just been tremendous. If you think about the objectives that we outlined in our Investor Day, we said with the new Loyalty program we wanted to drive light users and frequency there, check. We wanted to continue obviously to drive our delivery customers, obviously we're doing that, but we also wanted to engage our carryout customers, check there. So it really is doing every single thing that we had hoped it would. We'll give a number at the end of the year, as far as new users, but I can tell you the number of new users is increasing. I gave a number in my opening remarks that just to me is indicative of how this is going. So remember, one of the things we said we were going to do is, really use Loyalty to drive carryout. So orders from a carryout perspective, orders with Loyalty redemptions in the first half of this year are twice as high as they were under the old program in the first half of last year. Sandeep talked about how our carryout business is doing and this is one of the big reasons. So just really on all of the objectives, the Loyalty program is delivering what we had hoped.
Sandeep Reddy: One thing I'll add to that, Dennis is we've talked about this previously, but this is a multi-year driver of comps for us. So this year is just the beginning, and as we did in Piece of the Pie Awards when we launched it in 2014, we saw over three years or four years, continuous compounding of comps based on the launch of the program. We expect a similar kind of cadence, as we go through this program as well.
Russell Weiner: Yeah, and when you think about the health of this quarter and how order counts came in so strong. All of those customers are going into the flywheel of this Loyalty program. So today's orders are really tomorrow's sales. And that's why we're so excited about how the Loyalty program is working with everything else that's firing on the business right now.
Operator: Thank you. And our next question comes from the line of Brian Bittner from Oppenheimer. Your question, please.
Brian Bittner: Thank you. Good morning. As it relates to the unit growth guidance, I understand that the shortfall is primarily related to pressures you're witnessing at DPE, but can you dive into this dynamic a bit more? It just seems like a lot has changed versus when you initiated the long-term outlook at the end of last year. So just trying to better understand how the surprise came about so suddenly versus what you were expecting seven months, eight months ago?
Sandeep Reddy: Yeah, Brian, it's Sandeep. And so I think when you go back to the Investor Day back in December, I think one of the process that we went through was working with all of our master franchisees, including DPE, on the expectations that they had for the business. And we basically calibrated to that for both 2024 and the five-year horizon as well. And at that time, we were completely aligned. So then actually we got into the end of the Q1 call and then we got into the second quarter and we started seeing that relative to our expectations and cadence, both new store openings as well as closures, really started increasing from DPE. And as we saw that, we continued to engage with the DPE team to validate the forecast that we had for the year. And it became pretty clear as we actually went through that conversation and discussion that there was not only the risk to the second quarter that we were seeing, but clearly the outlook was going to be impacted as well. And in fact, just yesterday I think DPE put out a release with a number of closures that they outlined in the Japan and France market in particular, which they're targeting for their first half, which is our second half, which therefore will land in this fiscal year. So apart from what we've seen in second quarter, we expect to see more pressure in the second half of this year. So I think when you take the collective of all of that, It was a pretty material update that we were going to see in the numbers for this year, and we felt it appropriate to update our guidance for 2024. And also you will notice the range is 175 to 275. Why is the range that big? Because I think as we go through the process of not just the closures but the potential openings, the timing of it could potentially shift between our fiscal 2024 and fiscal 2025. And that's why we're temporarily suspending guidance on the long-term outlook as well apart from this year. So that's kind of what went on in the background, Brian, so you understand that. But I think one of the things I want to just come back to is when we look at our long-term guide, I mean, we're talking about maintaining our GRS growth of 7% plus and our operating income guide of 8% plus. And the reason for this is the store closures that we're talking about are very low volume stores. So when you actually put it all together, the aggregate impact to operating income is really immaterial in the grand scheme of things. And so that's why we're very confident in our operating income guidance. And we are reiterating that as you saw this morning.
Russell Weiner: And Brian, I would just add to that. I think what this shows me is how many levers we have to grow this business. And so, you know, certainly we're working with DPE, but let me just put some of this in perspective. So our sales and stores are still on target for the 7%, I'm sorry, our sales and non-profit for the 7% plus and the 8% plus. And with those headwinds in DPE, that means we have a lot of other things firing. And so just maybe I'll start with development. So at the same time as we have this DPE news, we have news that China and India are increasing their outlook. We've got today 14,000 stores, half of those stores we've opened since 2015. And so the momentum we have on our way to 40,000 stores, which is a lot more room for us, is tremendous. Then when you think about our development in the US, obviously we're, as Sandeep said in his remarks, 175 plus is still our target this year that we're going to hit. And when you think about the strength of development, openings are really important. So are closings. And in the trailing 12 months in the US, we've closed only seven stores out of a total about 7,000. And so development I think overall is pretty healthy and like I said we've got these other things firing at the same time, which is why our sales and profit numbers are still coming in at forecast.
Operator: Thank you. And our next question comes from the line of David Tarantino from Baird. Your question, please.
David Tarantino: Hi. Good morning. My question is a follow-up, Russell on your comments about the outlook for the year being unchanged. I guess we've seen signs that consumer spending is slowing certainly in parts of the restaurant industry. And it feels like the degree of difficulty in the US has increased. So I just wanted to ask you to give some commentary on why you're so confident in holding those targets for this year? And whether you think the degree of difficulty is higher or unchanged versus what you were thinking previously. Thanks.
Russell Weiner: Yeah, thanks, David. To me, the best predictor of the future, even though I have a lawyer in the room, who probably tells me I can't say this, is what's happened. And you're right about consumer spending slow, but let's think about what's happened with that as a backdrop. We've grown orders in our delivery business, our carryout business, every income cohort. We haven't talked about international, but we've grown order count in international. And so that's what's going on in an economy where folks are kind of maybe struggling to decide what to buy. And so if order counts are positive in that scenario, then as the momentum swings eventually, I expect our momentum to continue. So what you do when times are tough, to me that talks about the strength of the brand and that's why I just could not be more excited about how we delivered the results for the quarter.
Operator: Thank you. And our next question comes from the line of Andrew Charles from TD Cowen. Your question, please.
Andrew Charles: Great. Thank you. Sundeep, you talked about how the 3Q comps in the US, are expected to trail 2Q levels, and just given these are comparisons, I'm curious if that reflects what you're observing so far this quarter, or if it's more just forward-looking around your expectation just given one less Boost week in 3Q.
Sandeep Reddy: Andrew, thanks for the question. I think, no, it's more about what I talked about in the prepared remarks, which is we do have one less Boost week. We do have the ramp in Uber, but on a net basis it's slightly below what we saw in Q2 as our expectation for Q3. But I'll go back to Russell's previous answer. We are seeing tremendous performance in terms of transaction growth for the entire first half, and we're expecting to see that same performance in the entire second half. And so we're very confident in the ability of our business to deliver the kind of momentum that you've seen already in the first half, in the back half, including Q3.
Operator: Thank you, and our next question comes from the line of David Palmer from Evercore. Your question, please.
David Palmer: Thanks, Good morning. I guess the question is about, I'll make it a kind of a two-parter. It looks like the sales trends are pretty volatile in the US from the data that we see for example, things look like they were weaker in April, when you didn't have sort of a value forward-message like Emergency Pizza where the $3 tip. Could you kind of reflect on the quarter and what you are seeing in terms of the consumer response to stuff? And maybe give us a sense of what you think is working and not working in the US? And then separately I think people are going to be concerned about the fourth quarter if the third quarter is worse than this quarter, maybe let's say, you do a 4% in the third quarter, I think people are going to be concerned about you holding that 3%-plus in the fourth quarter given the comparison. So maybe you can address both of those. Thanks.
Russell Weiner: Yes, sure, maybe I'll give it a shot and Sandeep if I miss anything. As far as the volatility in the short-term, I think we look at quarters not days and obviously, years as well. And there are always some balancing news based on everything from weather to what we put out there. And so I like your -- the second part of your question was just kind of big picture, what's working and what's not working. What's working is the Hungry for MORE strategy. And I'll give you an example, maybe using one of the things we are doing this year, as we talked about was we are going to launch two new products. So we just launched the New York Style Pizza. New York Style Pizza is all about the most delicious food. It is an Innovation with Intent. There are believe it or not, some people out there who don't love our traditional crust. So this is an incremental crust, more foldable hopefully bring new people in the fold. At the same time that new product is delivered in better delivery times than it was two years ago. That's Operational Excellence. It is part of our Mix & Match promotion. It is also part of our Loyalty program, Renowned Value. And so what we're doing, David is really tethering all these things together. There is never anything that's firing one cylinder on its own. There truly is a Domino effect of connectivity between all the programs we have going on right now. From a [non-working] (ph) perspective, I mean, we're always Hungry for MORE. That's kind of the bumper sticker of this company. But I've been here 15 years, 16 years, and I know what drives the business. It is orders, it's stores, it's market share. And the orders that you've seen, the stores that you are seeing are -- just think about what traditional growth has been for the pizza category. We are going to be big winners from a share perspective. And once you do that, everything grows, your franchisee profitability grows, your advertising fund grows, you get a moat and our moat is filled right now with orders and stores and franchisee profits.
Sandeep Reddy: David, I'll just try to answer -- just clarifying a couple of the points. I mean you talked about volatility in sales spend in the US, we didn't see any volatility. We saw a very steady cadence. And the steady cadence of sales is really driven by the flywheel that Russell talked about on the Loyalty program and the frequency that's continuing to build from there. We've seen that pretty consistently across the year frankly, including the second quarter. So we don't see the volatility at all. And I think the other question that you asked was the confidence in the Q4 comp, and as I said in the prepared remarks, we expect both Q3 and Q4 to be above the 3%. So -- but I just explained that Q3 maybe slightly below Q2 because of the timing of the Boost -- of the number of Boost weeks offset by Uber's ramp. Now going to Q4, one of the things we talked about earlier was that loyalty is going to be a multi-year driver for us. So sure, we are lapping in Q4, the Loyalty program launch, but we still expect to be seeing tailwinds in the compounding impact from the Loyalty program in Q4. In addition, Uber continues to build. And so with both those drivers, there is every case to look at 3% or more is very, very much within reach in the fourth quarter, and we always Hungry for MORE. So the more we do, the better it is. So we're really confident. And because this is all transaction driven, it's really driving very strong economics. So franchisee profitability continues to grow. And I think that's actually driven by a significant performance on the supply chain side also, which is you are seeing on the supply chain financials that's going into the franchisee profits. So overall, very confident of our outlook for the back half of the year.
Operator: Thank you. And our next question comes from the line of Lauren Silberman from Deutsche Bank. Your question please.
Lauren Silberman: Thank you very much. I wanted to ask about the value strategy. So you talked about the one Boost week in the third quarter that leads to I believe, one in the fourth quarter, clearly driving strong performance. Given the value focus in the industry, what flexibility do you have to further increase promotional activity? And then are you seeing any increase in value mix and how much is going through deals?
Russell Weiner: Yes, Lauren thanks for the question. I think what we're doing in value is very special, and it is very different than what you are seeing in the industry right now, which I think folks, it is clear that there's been price taken. And folks are dealing back kind of individual items, telling customers, hey, this is what you can get on value. What we've done, and we've done this since 2009, when we launched Mix & Match. Our Mix & Match offer, value is two things. Value is the price, but it's the price for what you want. It's the price for what you want is high and the price for something you don't want is not high, that doesn't really do much. And so when you think about all of our platforms, you think about pizza, you think about pasta, sandwiches, desserts, salads, breads, chickens, all of those things consistently have been part of our promotional value play since the end of 2009. And having that consistency when people wake up in the morning and decide where they want to order, they know that they can trust Domino's. That trusted value is leading to the order count you're seeing. And then they become part of that loyalty flywheel. And so I just -- I think it's important to make sure we explain our approach to value is not just price. It's about price for what people actually want to order. And that's, as you've seen over this time period, a very sustainable way to grow.
Operator: Thank you. And our next question comes from the line of Gregory Francfort from Guggenheim. Your question please.
Gregory Francfort: Hi, Russ, I love the Domino effect reference there. But I just had a question on the incrementality of Uber and just some of the commentary there. I think you've had it for about nine months. Can you talk about what you've learned and maybe how you are changing some of the marketing message over the last maybe three months or six months? And then any update on thoughts on DoorDash in the next year? Should we still expect something on that and maybe what the timing would look like? Thanks.
Russell Weiner: Thanks, Greg, and we are going to send you the Domino effect bumper sticker after this, so you want to look after that. Uber is performing as we thought it would. It is doing so in a little bit of a different way. And I talked about it last quarter, but I think it is worth bringing up again. So first, from a sales perspective, it's about 1.9% of sales. And our – we are tracking towards our goal this year of 3% of sales. How it’s coming is a little bit different. And what we've seen is really an uptick more in a high-low strategy, originally our approach was okay, if we have kind of an everyday low price, not compared to our channels, right? Still the lowest price Loyalty program in our channel. That would be the way to win. But actually, it's -- whether it's how customers shop or part of the algorithm or a little bit of both, starting out with a slightly higher price that you can discount from, is a way to get more eyeballs. And so we've continued to test and pivot that way, and you are seeing it in the results. So again, we're -- the year is folding like we thought it would. And so what that leaves us with your question about DoorDash is the current exclusivity with Uber runs through Q1. At that point, whether or not we renew is our choice, and so we'll be looking at the economics and potential at that point. But that would be the time to think about do we stay exclusive? Or do we open up to a DoorDash or other aggregators. We've talked about the $1 billion opportunity for us is really our fair share on all of the aggregators, which in about three years or so is what we hope to get to.
Operator: Thank you. And our next question comes from the line of John Ivankoe from JPMorgan. Your question please.
John Ivankoe: Hi, thank you. Especially in the context of closures in France and in Japan. I asked about impacts of store splits in the US, you are currently at around 2.5% store growth rate in the US, which is actually high for a fairly mature brand. So talk about what you see as net I guess, cannibalization or whatever you want to call it, what negative impact on same-store sales from store splits. And is there any learning I guess, either side of the Atlantic or either side of the Pacific, as it may be in terms of who is learning for -- who is learning from who in terms of how markets can be penetrated? Is that -- that they didn't necessarily follow the same site model that you do? Or do you have any opportunities to kind of look at them in terms of how densely markets can be penetrated? I just want to I guess, have a sense of your level of risk acceptance in terms of hitting your US store targets without overly encroaching on your existing current asset base? Thank you.
Russell Weiner: Yes, John I'll take that. And maybe I'd start with the fact that I remember when we used to actually disclose what headwinds of splits were. So the fact that we are not disclosing them anymore, I can give you a sense of -- of how material they are. The great thing about the Domino's model and us leaning into carryout about a decade ago is 80%, when you split a store, 80% of the carryout volume is incremental. And so that right away when you are splitting a territory, you are getting all these customers. Those customers, they don't want to drive past four pizza places on their way to a Domino's. And so the more Domino's we have, the more carryout business we drive, and you can see how on fire carryout is the number that Sandeep took you through was same-store sales for carryout. That has nothing to do with all the carryout sales we're driving from new stores. And then what happens when you split these stores, not only does your carryout business get better. But remember, I talked earlier about our delivery time being 10% better than they were two years ago? Sure, it's a lot of the programs that we are driving with our franchisees, but it's also when you split stores, you get closer to your customers. And when you have more consistent delivery, those customers come back more. So it really is a – it is a wonderful cycle when it's really going well. And actually, one what I'd say is because you had asked about international learnings, one that -- DPE was one of the first folks to do in Australia. They got a 50% market share in Australia and a lot of it was through penetration with new stores and obviously, tightening their delivery areas, growing their carryout business. What they talked about that they saw in Japan was they probably split a little too fast. But doing it strategically over time has been a winning formula. They've shown it and I think that's been a huge driver of our market share.
Operator: Thank you. And our next question comes from the line of Sara Senatore from Bank of America. Your question please.
Sara Senatore: Thank you. I have actually sort of one just clarification and then a question on the new restaurant growth. So the clarification was just quickly on the pricing versus cost inflation and whether franchisees are seeing something similar. Obviously, you are still on track for the franchisee profitability targets, but pretty modest price increase that clearly didn't cover inflation for labor insurance. Is that kind of the dynamic that we should expect to see broadly going forward? Or was there anything kind of one-time in this quarter that specifically perhaps around insurance? But then the question on net restaurant growth is about -- you mentioned strength in China and India. Could you just maybe in broad strokes, talk about what volumes look like in different parts of the world. So a closure in Australia presumably is a higher volume or let's say, lack of openings in Australia, more of a hit to volumes for retail sales overall than perhaps openings in China and India, I mean that would be my guess, but perhaps that's not accurate. Thanks.
Sandeep Reddy: So Sara, let me start with clarification on pricing versus cost inflation. I think you're talking about the corporate stores, particularly. And really if you look at what happened on the corporate stores, and we had an insurance charge in the quarter that actually resulted in margins contracting. And if you actually strip out that insurance charge, margins were roughly flat and profit dollars grew. And really speaking, when we look at our franchisee profitability, that's pretty much a dynamic. We are looking at profit dollar growth, and that's exactly what we're expecting to see. And frankly, we expect to see that in corporate stores as well, as we actually go through the year. We continue to expect to see both margin improvement, as well as profit dollar growth on the corporate stores as well. And then I think specific to restaurant growth in China and India and your comment on the size of the stores, the closures that we're talking about essentially are very low-volume stores. So from that perspective, I think they're not necessarily comparable to the averages across all of the different markets. And so I think the drag is relatively small with the closures that we're talking about, specifically in Japan and France. And the growth opportunities continue to be robust. And the China stores, they've actually put out releases talking about their new store openings and the kind of record sales they're generating over there. So very exciting to see the growth coming from China.
Russell Weiner: And I'd add to that Sara, for us -- and I think really for the industry, when you think about the best way to cover cost inflation, assuming margins are in the area of where they should be, the best way to do that is by driving order count versus price. And so cost inflation for some folks may be a negative thing. For us, given our scale because we can drive more order counts, if we can get away with doing that without pricing and getting frequency, we are going to do that all day, and that's what's happened. And I look -- I just want to give a nod to our insights team because one of the questions earlier about pricing in this environment right now and headwinds with the customer. Well, with through our research, we knew we figured out when it was time to take price, and we also figured out, when it was time not to take price. And all of those decisions are what's leading into the results you see now, and it will continue to drive what we decide to do moving forward. Now the best piece of it too, is the research, a lot of it is -- its numbers. But then it gets translated to real life when you put it down to the stores. And then what you do is you watch what consumers do and you watch what your franchisees do. And what's been great is obviously, the order counts. So consumers are happy. But franchisees who are sticking with the recommendations not only obviously on our national offer but local offers and menu pricing. And so this is something that I think, is proprietary for us and has worked and will continue to work over time.
Operator: Thank you. And our next question comes from the line of Danilo Gargiulo from Bernstein. Your question please.
Danilo Gargiulo: I was wondering if you can give a little bit more color on what you think, at least in your view, will it causing the softness in unit opening by DPE? And more specifically also, if you can share what is your level of confidence that international store openings and closure pressures is going to be limited only to DPE and that we are not going to see another potential reduction in the guidance later on with other master franchisees coming softer versus your original expectation. Thank you.
Russell Weiner: Yes. Danilo, I'll let DPE's release kind of speak to what they are thinking about those closures. So they talked about Japan being a little bit aggressive in openings and now they are seeing kind of the results of that. What gives me confidence about the rest of the piece of the algorithm as an example, I said earlier DPC China, DASH and Jubilant, they're going to be 40% to 50% of our openings, and they each increased their outlook. And so the beauty of being in over 90 countries around the world is, look, I'm not trying to look away from what clearly was a miss in one part of the business. But a good business is able to kind of handle that. And that's what being 90-plus markets helps us do. And all of these levers, end up leading to the 7% plus on the sales basis and the 8% plus on a profit basis really show how that is made up in times like this. Anything to add Sandeep?
Sandeep Reddy: No.
Russell Weiner: Okay.
Operator: Thank you. And our next question comes from Peter Saleh from BTIG. Your question please.
Peter Saleh: Yeah. Great. Thanks for taking my question. I wanted to ask about the -- you guys mentioned positive order counts in both delivery and carryout in the US. Can you just talk a little bit about -- are these new customers? Are these lapsed users? And just any thoughts on that call, lower income consumer. Are you seeing -- I know you said you were seeing growth across all income cohorts. But any thoughts on what you are seeing there. Is that accelerating? Is it stable? I guess that's my first question. And then just a follow-up on that, on the store closures from DPE, Sandeep, you said they're very low volume. Is there any way to give us an order of magnitude of how low these stores are in terms of volumes just so that we understand. Thank you very much.
Russell Weiner: Yes. Maybe Sandeep, you can -- the other way to look at that is just talk about the profit impact.
Sandeep Reddy: Yes. No -- I think on the -- let me start with the second part of the question right, which is the store volumes and what's going to happen. Very low volume in relative terms to the rest of the fleet and the rest of the market in all the stores that are closing in Japan and France. So the impact is so material to the profit number. It's in a few million dollars and on a forward basis for 2025, and will have a very limited impact even on 2024, considering we’re only halfway through the year. So very small to answer your question from that Peter.
Russell Weiner: Yes. And Peter, just on the first question, what I'd say about the order count, and I try to stress this by giving the specifics of delivery and carryout in every income segment is we've got some of the most balanced order count I've ever seen. And I believe that is also true for the -- not only in our history, but also just in the industry right now. Your specific question on the lower-income customer, you have -- the order count there is positive as well. And part of that was intent not only from our pricing, but as we put the Loyalty program together. Remember you used to have to have two things. You had to buy $10 worth of food to get any points. Now it's $5. So that hurdle is a little bit easier. You used to have to buy six times to get something free. Now you can buy -- get some free after two orders, which is great for the customer, actually great for our franchisee too, because the margin on the 20-point and 30-point item is much better on those orders than the 60. So what it is not like we just kind of fell into this. This was intent in both the design of our pricing and the design of our loyalty program and it's not going away.
Sandeep Reddy: And the beautiful thing, Pete, is it is so balanced across all income cohorts. And I think it really reflects what Russell is talking about. And that consistency has been seen all through the first half of the year.
Operator: Thank you. And our next question comes from the line of Chris O'Cull from Stifel. Your question please.
Chris O'Cull: Yeah. Good morning guys. Also. Just given the success of the New York Style Pizza, can you talk more about this innovation with intent strategy? And it is just part of that answer, can you maybe touch on whether the innovation you expect to launch later this year, we'll leverage that approach?
Russell Weiner: Yes. Sure, Chris. Well, I will tell you the one thing that did not drive New York Style Pizza was the guy in the spot, which for those of you who don't know, was me. Sandeep keeps telling me I have a face for radio. So we'll see when it's time for your performance review, how that works out. But yes, so New York Style Pizza, this idea of Innovation with Intent. If you look back the last 15 years, 16 years at Domino's, there are -- I can't think of more than two items that -- products that we've launched that we've taken off the menu. Launching a new product takes a lot of money, it takes a lot of time. And so there needs to be a strategic role in it. Whether or not you were successful is whether or not that items are still there. So you think about -- I'm not going to really give you any forward-looking of it to say, again, we're going to continue to do two a year. New York Style Pizza right? We talked about this is a customer that may not like our traditional crust as much. So there's a reason for doing it. If you think about what we did last year with Pepperoni Stuffed Cheesy Bread, Okay. Putting Pepperoni and something is probably not the most innovative thing in the world. But guess what? It reminded people that we have Stuffed Cheesy Bread. And when you have all of these platforms -- and remember Chris, 40% of what we sell is not pizza. You got to figure out a way to continue to talk about pizza, but continue to remind people that you have these platforms. And so maybe those are two good examples of intent. One is going after a customer that probably doesn't frequent Domino's. And the other is reminding people of a platform that when they add to their order, is increased the ticket and is more profitable for our franchisees.
Operator: Thank you. And our next question comes from the line of Brian Harbour from Morgan Stanley. Your question please.
Brian Harbour: Yeah. Thanks. Good morning guys. If I could just follow up on some of the comments about store margins. So if you kind of set aside that insurance impact, I mean, is this mostly just about there being still pretty significant wage inflation? Do you think that's kind of the case through the balance of this year? Obviously, you did have order count growth right? But it sounds like that's kind of being offset on the labor side. And I don't know if maybe there is any sort of product mix dynamics that have also affected that. Could you just talk more about the store margin dynamics?
Sandeep Reddy: Yes. So Brian, I think the thing that the company stores is actually it's a much smaller data set, right, because we've only got about [6 DMAs] (ph) in which we're operating. And yes, there was some wage pressure that we were actually dealing with as we went through the first half. But we are getting closer to lapping some of those -- the wage pressures that we took. And overall, -- when you look at the economics of the stores, they actually, on a first half basis, still pretty good and definitely [ex the insurance] (ph) adjustment, still expanding and growing. We expect that to continue to happen. That's why I said for the full year on the company stores, I still expect our margins to be better and our profit dollars to grow. And I think being -- what I want to emphasize is we shouldn't view company stores as an analog to what's happening on the franchisee stores because the data set is so limited in relative terms. On the franchisee stores, we are seeing very, very balanced profit growth across the business. And we -- and that's what gives us confidence that the $170,000 or more is definitely on track.
Russell Weiner: Yes. And I'll just maybe build on that question on the lab just reminds me of an earlier question we had about Q4 and emergency pizza and how we are going to lap that potential headwind. And I guess what I'd say there is, we are in the business of creating headwinds I love the questions on headwinds because that means we did something really successful that folks are wondering, how are we going to overlap. Well, we are in a business that are creating headwinds, and we are in the business of beating those headwinds. And so I'm not concerned about that. And I know what the team has going and they're up for the challenge. And if you think about emergency pizza, during this time now where you are seeing a lot of price out there from folks I think who has what price point is going to be, as I always talk about the sea of standard. How are you going to know when an ad is over, who owned this particular price point. Everyone in the country knows who owns Emergency Pizza. And so we have things like that, carryout tips, You Tip, We Tip, that's renowned value. And so there are as you see more and more discounts to customers as, I think, different restaurants are adjusting to pricing, I believe there is going to be a lot of noise in that. And what our team does really breaks through that noise.
Operator: Thank you. And our next question comes from the line of Todd Brooks from The Benchmark Company.
Todd Brooks: Hi, good morning. Thanks for taking my question. Just a quick follow-up on Loyalty Sandeep, I think when you talked about loyalty last quarter that you talked about the 20 and 40 point reward tiers as being the majority of redemptions. I wanted to see if that trend is continuing to go going forward? And with enough time passing. Do you have a sense that somebody that redeems at a lower point level tends to continue to do so. So it is almost a faster frequency flywheel coming from loyalty, if those customers stick at those lower redemption tiers? Thank you.
Sandeep Reddy: So Todd, you asked the question and answered it yourself. And really, it is exactly that. We have been seeing very consistent trends in terms of the redemption of the 20 and 40-point levels, and it is driving that frequency flywheel, as we go along because they're continuing to transact and redeem. And that's what we are very confident on continuing as we move forward into a multiyear flywheel.
Russell Weiner: Yes. And back to the question before, Todd that reminds me of the Innovation with Intent has -- Innovation with Intent is not just new products. It's a Loyalty program and how you put your Renowned Value together. So with Emergency Pizza, if you recall, you buy a Pizza, you can get a free one in a month. Well, you do that, all of a sudden, you're part of our Loyalty program. You're at 20 points, you're getting a free item. With our tipping program, either carryout or delivery one, if you buy one, you're part of the program. You then use your tip, you've got a second item if you're part of the Loyalty program and you're redeeming. The most important thing about our new Loyalty program is getting people to understand how easy it is to earn. And the programs that we are putting out there aren't just driving sales. They are driving that clarity for folks about, wow I can get stuff really quick.
Operator: Thank you. And our next question comes from the line of Christine Cho from Goldman Sachs. Your question please.
Christine Cho: Hi, thank you. So I know you have just had the worldwide rally in May. So really curious to hear some of your key takes from the event? Or were there any surprises? What are the areas that your franchisees around the world are most excited about, most worried about any common strategic priorities that have come up there would be great. Thank you.
Russell Weiner: Yes, Christine, this was a fantastic rally. And it's not just me saying it. Here's -- I'll give you some numbers on it. We do quantative studies on everything here at Domino's, who we do it on a rally. It was the highest rally we've ever had as far as people. But the scores of attendee is we've never had a higher one. And this one blew my mind. I will get you that later if I'm sharing something I shouldn't. But one of the things we ask people is what was the -- did you take away the key message. And the results there were 98% took away a key message. We've never had numbers anywhere like that. And the cool thing was people were leaving to rally. A lot of times you do these rallies and whatever they are called, like the bumper sticker we are going to send out earlier, it really is more, what does the [t-shirt] (ph) look like or what do people shout. Hungry for MORE is more than that, folks came away knowing what jobs they needed to do. And so the really cool part for me were, for example, the US franchisees leaving and saying, I got it. I'm responsible for the M and the O. Making sure the food, we make it delicious and we deliver it the right way. We had international franchisees saying, oh, this idea of renowned value is really, really interesting. And what happened? We went back and you've seen changes in the marketing in a lot of our international markets because of Hungry for MORE. And so I just -- I believe it not only talks about the strength of our system. It is nice to have profitable franchisees all in one place, they're all pretty happy. But when they come away talking about the future, is what makes us really excited.
Greg Lemenchick: Thank you, Christine. That was our last question of the call. I want to thank you all for joining our call today, and we look forward to speaking with you all again soon. You may now disconnect.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.